Operator: Good day. And welcome to the Monster Beverage Corporation First Quarter 2025 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would like now to turn the conference over to Mr. Rodney Sacks; and Mr. Hilton Schlosberg, Co-CEOs. Please go ahead.
Rodney Sacks: Good afternoon, ladies and gentlemen. Thank you for attending this call. I’m Rodney Sacks. Hilton Schlosberg, our Vice Chairman and Co-Chief Executive Officer is on the call, as is Tom Kelly, our Chief Financial Officer. Tom Kelly will now read our cautionary statement.
Tom Kelly: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends. Management cautions that these statements are based on our current knowledge and expectations and are subdued to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-K, filed on February 28, 2025, including the sections contained therein, entitled Risk Factors and Forward-Looking Statements for Discussion on Specific Risk and Uncertainties that May Affect Our Performance. The company assumes no obligation to update any forward-looking statements, whether as a result of new information, future events, or otherwise. I would also like to note that an explanation of the non-GAAP measures, which may be mentioned during the course of this call, is provided in the notes and the condensed, consolidated statements of income and other information attached to the earnings release dated May 8, 2025. A copy of this information is also available on our website, www.monsterbevcorp.com, in the Financial Information section. I would now like to hand the call over to Rodney Sacks.
Rodney Sacks: Thanks, Tom. Trends in our Nielsen-measured categories have been accelerating since early 2025. Consumer purchases in our non-Nielsen-measured categories are following the same trend. Growth opportunities in household penetration and per capita consumption, along with consumers’ growing need for energy, are positive trends for the category. In the United States, the energy category, according to Nielsen, for the recently reported 13 weeks through April 26, 2025, grew at 10% versus the same period last year. In EMEA, the energy drink category, according to Nielsen, for our tracked markets for the recently reported 13-week period, which differs from country to country, grew at approximately 13.7% versus the same period last year on an FX-neutral basis. In APAC, the energy drink category, according to Nielsen and INTAGE, for the recently reported 13-week period, which differs from country-to-country, grew at approximately 13.6% versus the same period last year, also on an FX-neutral basis. In LatAm, the energy drink category, according to Nielsen, for our tracked markets for the recently reported 13-week period, which differs from country-to-country, grew at approximately 15.7% versus the same period last year on an FX-neutral basis. This does not include Argentina and Chile. Net sales for the 2025 first quarter were negatively impacted by bottler/distributor ordering patents, specifically in the United States and EMEA. Adverse changes in foreign currency exchange rates decreased sales in the Alcohol Brand segment, adverse weather, one less selling day in the 2025 first quarter, as well as uncertain economic conditions. Net changes in foreign currency exchange rates had an unfavorable impact on net sales for the 2025 first quarter of $57.3 million. On a foreign currency-adjusted basis, net sales for the 2025 first quarter increased 0.7% or 1.9% excluding the Alcohol segment. Reported net sales were $1.85 billion in the 2025 first quarter or 2.3% lower than net sales of $1.9 billion in the comparable 2024 first quarter. Gross profit as a percentage of net sales for the 2025 first quarter was 56.5%, compared with 54.1% in the 2024 first quarter. The increase in gross profit as a percentage of net sales for the 2025 first quarter was primarily the result of pricing actions, as well as supply chain optimization in the quarter. Operating expenses for the 2025 first quarter were $478.2 million, compared with $485.1 million in the 2024 first quarter. As a percentage of net sales, operating expenses for the 2025 first quarter were 25.8%, compared with 25.5% in the 2024 first quarter. Distribution and warehouse expenses for the 2025 first quarter were $77.6 million or 4.2% of net sales, compared with $94.4 million or 5% of net sales in the 2024 first quarter. Operating income for the 2025 first quarter increased 5.1% to $569.7 million from $542 million in the 2024 comparative quarter. Operating income for the 2025 first quarter, exclusive of the Alcohol Brand segment, increased 7.9% to $591.2 million from $548 million in the 2024 first quarter. The effective tax rate for the 2025 first quarter was 23.4%, compared with 23.5% in the 2024 first quarter. Net income in the 2025 first quarter was $443 million as, compared to $442 million in the 2024 comparable quarter. Diluted earnings per share for the 2025 first quarter increased 7.4% to $0.45 from $0.42 in the first quarter of 2024. Diluted earnings per share for the 2025 first quarter, exclusive of the Alcohol Brand segment, increased 10.2% to $0.47 from $0.42 in the first quarter of 2024. During the first quarter of 2025, the impact of tariffs on our operating results was immaterial. In general, while our concentrates are manufactured both in the U.S. and Ireland at the present time, production of our finished products takes place locally in our respective markets. The tariff landscape is complicated and dynamic. We import some raw materials into the United States, export certain raw materials for local markets, and export limited quantities of finished products. We do not believe, based on our business model, that the current tariffs will have a material impact on the company’s operating results. We will recognize tariffs on aluminum through the higher Midwest premium and are reviewing mitigation strategies across the business. For instance, AAF, our flavor and concentrate subsidiary, is planning to establish a facility in Brazil, which should be operational later in 2026. According to the Nielsen reports for the 13 weeks ended April 26, 2025, for all outlets combined, excluding convenience and gas, sales in dollars in the energy drink category, including energy shots, increased by 13.8% versus the same period a year ago. According to the Nielsen reports for the 13 weeks ended April 26, 2025, for all outlets combined, namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including energy shots, increased by 10% versus the same period a year ago. Sales of the company’s energy drink brands, including Bang, were up 6.9% in the 13-week period. Sales of Monster increased 8.7%. Sales of Reign were down 9.9%. Sales of NOS increased 0.8%, and sales of Full Throttle decreased 1.5%. Sales of Red Bull increased 15.6%. According to Nielsen, for the four weeks ended April 26, 2025, sales in dollars in the energy drink category in the convenience and gas channel, including energy shots, increased 8.9% over the same period the previous year. Sales of the company’s energy drink brands, including Bang, were up 6.8% in the latest four-week period in the convenience and gas channel. Sales of Monster increased by 8.2% over the same period versus the previous year. Reign’s sales decreased 6%, NOS was up 1.9% and Full Throttle was down 1.7%. Sales of Red Bull were up 15.2%. According to Nielsen, for the four weeks ended April 26, 2025, the company’s market share of the energy drink category in the convenience and gas channel, including energy shots in dollars, decreased from 37.1% to 36.4%, including Bang. Monster’s share decreased from 29.2% to 29%. Reign’s share decreased 0.4 of a share point to 2.6%. NOS’ share decreased 0.1 of a share point to 2.5%. And Full Throttle’s share decreased from 0.7% to 0.6%. Bang’s share was 1.7%. Red Bull’s share increased 2 share points to 36.8%. Market share of certain competitors were as follows. CELSIUS 7.8%, C4 3.5%, GHOST 2.9%, 5-Hour 2.8%, Alani Nu 2.7% and Rockstar 2.4%. According to Nielsen, for the four weeks ended April 26, 2025, sales in dollars of the coffee + energy drink category, which includes our Java Monster and Killer Brew lines in the convenience and gas channel, decreased 1.2% over the same period the previous year. Sales of Java Monster including Killer Brew were 4.4% higher in the same period versus the previous year. Sales of Starbucks Energy Coffee were 11.7% lower. Monster Coffee’s share of the coffee + energy drink category for the four weeks ended April 26, 2025, was 62.1%, up 3.4 points, while Starbucks Energy Coffee’s share was 36.6%, down 4.4 points. According to Nielsen, in all major channels in Canada, for the 12 weeks ended March 22, 2025, the energy drink category increased 9.4% in dollars. Sales of the company’s energy drink brands increased 11.4% versus a year ago. The market share of the company’s energy drink brands increased 0.7 of a point to 40.9%. Monster’s sales increased 8.5% and its market share decreased 0.3 of a share point to 36.1%. NOS’ sales increased 12.4% and its market share increased 0.1 of a point to 1.2%. Full Throttle’s sales increased 6.2% and its market share remained at 0.5 of a percent. According to Nielsen, for all outlets combined in Mexico, the energy drink category increased 9% for the month of March 2025. Monster’s sales increased 15.3%. Monster’s market share in value increased 1.7 points to 31.3% against the comparable period the previous year. Sales of Predator increased 22.2% and its market share increased 0.7 of a share point to 6.4%. The Nielsen statistics for Mexico cover single months, which is a short period that may often be materially influenced, positively and or negatively, by sales in the OXXO convenience chain which dominates the market. Sales in the OXXO convenience chain, in turn, can be materially influenced by promotions that may be undertaken in that chain by one or more energy drink brands during a particular month. Consequently, such activities could have a significant impact on the monthly Nielsen statistics for Mexico. According to Nielsen, for all outlets combined in Brazil, the energy drink category increased 33.7% for the month of March 2025. Monster’s sales increased 26.5%. Monster’s market share in value decreased 2.6 points to 45.2% compared to March 2024. According to Nielsen, for all outlets combined in Chile, the energy drink category increased 1.6% for the month of March 2025. Monster’s sales decreased 3.5%. Monster’s market share in value decreased 2.2 points to 40.7% compared to March 2024. According to Nielsen, for all outlets combined in Argentina, in March 2025, Monster’s market share in value decreased 6.5 points to 52% compared to March 2024. We are the market share leader in Brazil, Chile and Argentina. I would like to point out that the Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country-to-country and are reported on varying dates within the month referred to from country to country. According to Nielsen, in the 13-week period ending March 30, 2025, Monster’s retail market share in value, as compared to the same period the previous year, grew from 16.2% to 18% in Belgium, from 22.6% to 24.4% in the Czech Republic, from 26.9% to 27.7% in Denmark, from 32.1% to 33.2% in Great Britain, from 15.8% to 18.1% in Germany, from 6.6% to 11.1% in The Netherlands, from 32.8% to 36.9% in Norway, from 18.6% to 21.3% in Poland, and from 30.2% to 33.4% in the Republic of Ireland. According to Nielsen, in the 13-week period ending March 30, 2025, Monster’s retail market share in value, as compared to the same period the previous quarter, remained flat at 40.7% in Spain and 14.7% in Sweden. According to Nielsen, in the 13-week period ending March 30, 2025, Monster’s retail market share in value, as compared to the same period the previous year, declined from 32.2% to 27.4% in France, and from 19.9% to 18.2% in South Africa. According to Nielsen, in the 13-week period ending February 28, 2025, Monster’s retail market share in value, as compared to the same period the previous year, grew from 34.9% to 35.9% in Greece and from 30.3% to 31.1% in Italy. According to Nielsen, in the 13-week period ending February 28, 2025, the retail market share in value of Predator, also branded Fury in certain markets, as compared to the same period the previous year, grew from 9.8% to 11.9% in Egypt, from 34.3% to 42.1% in Kenya, and from 20.8% to 23.9% in Nigeria. We are pleased that in the 2025 first quarter, Monster gained market share in Belgium, the Czech Republic, Denmark, Great Britain, Germany, Greece, Italy, The Netherlands, Norway, Poland and the Republic of Ireland. According to Cercana, for all outlets combined in Australia, the energy drink category increased 8.1% for the four weeks ending April 20, 2025. Monster’s sales increased 22.2%. Monster’s market share in value increased 2.8 points to 24.7% against the comparable period the previous year. Sales of Mother decreased 11.2% and its market share decreased two share points to 9.2%. According to Nielsen, for all outlets combined in New Zealand, the energy drink category increased 17.1% for the four weeks ending April 27, 2025. Monster’s sales increased 23.9%. Monster’s market share in value increased 0.8 of a share point to 15.5% against the comparable period the previous year. Sales of Mother decreased 9.3% and its market share decreased 1.6 share points to 5.3%. Sales of Live+ decreased 4.5% and its market share decreased one share point to 4.4%. According to INTAGE, in the convenience channel in Japan, the energy drink category increased 6.6% for the month of March 2025. Monster’s sales increased 0.6 of a percent. Monster’s market share in value decreased 3.4 points to 56.1% against the comparable period the previous year. According to Nielsen, for all outlets combined in South Korea, the energy drink category increased 18.3% for the month of March 2025. Monster’s sales increased 24.8%. Monster’s market share in value increased 2.8 points to 54.7% against the comparable period the previous year. Monster remains the market leader in Japan and South Korea. We again point out that certain market statistics that cover single months or four-week periods may often be materially influenced, positively and or negatively, by promotions or other trading factors during those periods. Net sales to customers outside the United States on a foreign currency-adjusted basis increased 6.2% to $790.5 million in the 2025 first quarter. Reported net sales to customers outside the U.S. were $733.2 million, 35.9% of total net sales in the 2025 first quarter, compared to $744.1 million, or 39.2% of total net sales in the corresponding quarter in 2024. Foreign currency exchange rates had a negative impact on net sales in U.S. dollars by approximately $57.3 million in the 2025 first quarter. In EMEA, net sales for the 2025 first quarter decreased by 2.6% in dollars, but increased 2.1% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 first quarter was 35.1% versus 34% in the same period in 2024. In Asia-Pacific, net sales in the 2025 first quarter increased 10.4% in dollars and increased 16% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales for the 2025 first quarter was 42.4% versus 42.6% in the same period in 2024. Net sales in Japan in the 2025 first quarter decreased 3.5% in dollars, but increased 1.3% on a currency-neutral basis. In South Korea, net sales in the 2025 first quarter decreased 2.5% in dollars and increased 6.8% on a currency-neutral basis as compared to the same quarter in 2024. In China, net sales in the 2025 first quarter increased 40.1% in dollars and increased 43.2% on a currency-neutral basis as compared to the same quarter in 2024. We remain optimistic about the long-term prospects for the Monster brand in China, and are excited about Predator, which is being rolled out to additional markets in China. In Oceania, which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam, net sales increased 21.6% in dollars and increased 28.8% on a currency-neutral basis. In Latin America, including Mexico and the Caribbean, net sales in the 2025 first quarter decreased 3.1% in dollars, but increased 14.4% on a currency-neutral basis over the same period in 2024. Gross profit in this region as a percentage of net sales was 44.6% for the 2025 first quarter versus 42.8% in the 2024 first quarter. In Brazil, net sales in the 2025 first quarter decreased 5.3% in dollars and increased 13.4% on a currency-neutral basis. Net sales in Mexico decreased 4.7% in dollars and increased 14.1% on a currency-neutral basis in the 2025 first quarter. Net sales in Chile decreased 24.2% in dollars and decreased 18.5% on a currency-neutral basis in the 2025 first quarter. Net sales in Argentina increased 20.7% in dollars and increased 65.7% on a currency-neutral basis in the 2025 first quarter. Monster Brewing continued to face challenges in the first quarter. We remain focused on optimizing our personnel and facilities to support the current demand for our Monster Brewing portfolio and innovation pipeline. Net sales for the Alcohol Brand segment were $34.7 million in the 2025 first quarter, a decrease of approximately $21.4 million or 38.1% lower than the 2024 comparable quarter, largely as a result of the launch of Nasty Beast Hard Tea in the first quarter of 2024. As planned, Michi, our newest flavoured beer innovation, is being shipped to distributors and retailers and is in the process of a national launch in two 24-ounce flavors, Michi Lime Chelada and Michi Tomato Michelada. We are planning to launch the Beast in certain international markets, subject to regulatory approvals. We are planning for further innovation in Monster Brewing in the coming months. In the United States, in January, we launched Reign Storm Tropical, Bang Sour Ropes and Monster Ultra Blue Hawaiian at retail. In February, we launched Juice Monster Viking Berry, Killer Brew Mean Bean, Killer Brew Loca Moca and Reign Turtle Body Fuel White Haze. In March, we launched Bang Any Means Orange. In Canada, during the first quarter of 2025, we launched Monster Energy Ultra Fantasy Ruby Red, Monster Rio Punch, Java Monster Irish Crème, Reign Turtle Body Fuel Sour Gummy Worm, Monster Reserve Peaches N Crème, Monster Rehab Green Tea, Reign Storm Guava Strawberry and Citrus Zest and Bang Cotton Candy. In Latin America, during the first quarter of 2025, we launched a series of innovations within the Ultra family. In January, we launched Ultra Peachy Keen in Chile. This was followed in March by the launch of Ultra Fiesta in Brazil. In Puerto Rico, we launched Reign Tropical Storm, Reign Sour Gummy and Cafe -- Java Cafe Latte. Lastly, we launched Pipeline Punch in Peru. In EMEA, in the first quarter of 2025, we launched Monster Green Ultra Sugar, Juiced Bad Apple, Juiced Rio Punch, Ultra Fantasy Ruby Red, Ultra Peachy Keen, Ultra Strawberry Dreams, Burn Guava and Burn Orange Fire in certain countries in EMEA. Additional launches are planned throughout EMEA in 2025 of various products in different countries. In Australia, during the month of March, we launched Monster Ultra Fantasy Ruby Red. During the first quarter of 2025, we launched Monster Ultra Fantasy Ruby Red in Japan, Monster Ultra Strawberry Dreams in South Korea, Monster Aussie Lemonade in Hong Kong and Taiwan, and Monster Pipeline Punch in Vietnam. Additionally, we remain optimistic about the long-term prospects for the Monster brand in China and India, and are excited about the incremental expansion of the Predator brand in these two countries. Notably, in China, we implemented the national rollout of the Predator brand in all provinces. During the 2025 first quarter, no shares of the company’s common stock were repurchased, as of May 8, approximately $500 million remained available for repurchase under the previously authorized repurchase program. We estimate that on a foreign currency adjusted basis, April 2025 sales were approximately 16.7% higher than the comparable April 2024 sales, and 17.6% higher on a foreign currency adjusted basis excluding the Alcohol Brand segment. We estimate that April 2025 sales on a non-foreign currency adjusted basis were approximately 15.3% higher than the comparable April 2022 sales, and 16.1% higher on a non-foreign currency adjusted basis excluding the Alcohol Brand segment. April 2025 has the same number of selling days as April 2024. We estimate that year-to-date sales through April 30, 2025 on a foreign currency adjusted basis excluding the Alcohol Brands were approximately 6.9% higher than the comparable period in 2024 and 5.8% higher on a foreign currency adjusted basis including the Alcohol Brand segment. We estimate that year-to-date sales through April 30, 2025 on a non-foreign currency adjusted basis were approximately 3.3% higher than the comparable period in 2024, and 4.3% higher on a non-foreign currency adjusted basis excluding the Alcohol Brand segment. In this regard, we caution again that sales over a short period are often disproportionately impacted by various factors, such as, for example, selling days, days of the week in which holidays fall, timing of new product launches, the timing of price increases, the promotions in retail stores, distributor incentives, as well as shifts in the timing of production. In some instances, our bottlers are responsible for production and determine their own production schedules. This affects the dates on which we invoice such bottlers. Furthermore, our bottling and distribution partners maintain inventory levels according to their own internal requirements, which they may alter from time-to-time for their own business reasons. We reiterate that sales over a short period, such as a single month, should not necessarily be imputed to or regarded as indicative of results for a full quarter or any future period. In conclusion, I would like to summarize some recent positive points. The energy category continues to grow globally. We believe that household penetration continues to increase in the energy drink category. Growth opportunities in household penetration, per capital consumption, along with consumers’ need for energy, are positive factors for the category. We continue to expand our sales in non-Nielsen measure channels. Globally, as measured by our scanner track data, consumer demand remains strong. In the United States, the energy category, as measured by Nielsen, accelerated through the quarter and remained strong in April. Similarly, Monster sales at retail, as measured by Nielsen, accelerated through the quarter and remained strong in April. We continue to review opportunities for price increases domestically and internationally. Our AFF flavor facility in Ireland is now providing a large number of flavors to our EMEA region, enabling better service levels and lower landed costs to our EMEA region. The juice plant at our AFF facility in Ireland has now been completed. After trials, we expect the juice plant to be in production by midyear. We are excited for our 2025 innovation pipeline globally. We are currently exploring opportunities for our alcohol products in certain international jurisdictions. We are pleased with the rollout of Predator and Fury, our affordable energy drink portfolio, in a number of markets internationally. We are proceeding with plans for further launches of our affordable energy brands. I would now like to open the floor to questions about the quarter. Thank you.
Operator: [Operator Instructions] Our first question comes from Kaumil Gajrawala of Jefferies. Please go ahead.
Kaumil Gajrawala: Hey, guys.
Rodney Sacks: Hi.
Kaumil Gajrawala: A couple questions on timing. You mentioned a bit about supply chain optimization and maybe some purchase timing from bottlers having an impact on the Q1 number. Can you maybe provide some details on how much that was or maybe what’s behind those comments?
Hilton Schlosberg: Yeah, I think, Kaumil, if I can take this question that, we mentioned that, the first quarter was impacted by bottler distributor ordering patents in the United States and EMEA. We cannot control how our bottlers order. They order according to their needs. And remember that in the early part of the quarter, there were significant closure days of distribution centers by a number of major bottlers. So you had an interesting situation in the quarter where the numbers were impacted by bottler distribution -- distributor ordering patents. We had adverse changes in Forex, as you know. Decreased sales in the Alcohol Brand segment. And the weather, which I mentioned earlier, there was one less selling day. And against this whole backdrop, you have these very difficult uncertain economic conditions. So that was a tale of the quarter. But then we turned you to April, where April was a really robust month. And we showed what the results would have been were the numbers cumulative, the sales numbers cumulative to April. So that’s a picture of the quarter. April, very strong, very robust, as we would have expected, given what had happened in the quarter. You’ve got the cumulative numbers to April. And then with regard to supply chain optimization, that really impacted gross profit and that together with the benefits in selling prices, really benefited the gross profit line.
Operator: Our next question comes from Dara Mohsenian of Morgan Stanley. Please go ahead.
Dara Mohsenian: Hey. Good afternoon, guys. So moving beyond the shipments, Rodney, you sounded pretty enthusiastic about the underlying trends we’re seeing in retail takeaway and the Nielsen numbers. So just given the broader macro situation, just wanted to get any perspective on if you think we’re seeing any macro impact on the category, either in the U.S. or internationally, again, looking at retail sales. And then also maybe just in the U.S., given we’ve seen the category rebound while a number of other consumer CPG segments have dropped off and we’ve seen category weakness elsewhere, just curious for your perspective on some of the drivers of the energy category rebound and how sustainable they might be going forward? Thanks.
Rodney Sacks: I mean, I think, Hilton will give you his view on it. I think that the important thing is that you’ve just got to look at the depletions. You look at the Nielsens. At the end of the day, they are a much more accurate and a more balanced reflection of the health of the brands that we have, health of our sales and health of the category. And I think those have shown increases and you just got -- and that’s why we pointed to this mismatching. And ultimately, though, it’s the consumer demand that tells ultimately where things are going to be headed. And those are continuing to improve through the quarter and continue to improve through April. And that’s why we did, and as Hilton mentioned, we’ve really given you the numbers for four months, which shows that continuing trend. And it’s similar even in overseas markets as well. You’ve seen some of the Nielsen numbers. You’ve seen some of the reported numbers of the bottlers. Again, I think look to the end demand, which is better represented by the Nielsens and depletions even from our bottlers than our numbers, which are a little more choppy. But we can’t really give you any more color on it than that. But other than to say the category is healthy. We had some slowdown a little bit last year. We also are seeing some improved numbers. And it’s an affordable luxury at the end of the day. And the numbers continue to be strong. And we are -- for that reason, we are very, very positive about our prospects going forward in the rest of the year.
Hilton Schlosberg: Yeah. I think that’s right. I mean, if you look at, for example, the bottlers that have reported and do report energy sales, CCP showed an increase of 12%. Hellenic in the quarter showed an increase of 26%. And then just off left field, we had a situation in Korea where LG reported an increase of 45.8%. So we’ve seen a lot of positive trends in the bottlers. We had these closures of distribution centers. And from that perspective, if you analyze the quarter and you take into account the direct business that we do, and we do a fair amount of direct business. But the majority, of course, is done through the distributors. You’ll see that the trend in the direct business was in line with what we would have expected. And if you look at the sales through the, sales to, not sales through, but the sales to the bottler distributors, there was a bit of choppiness in those numbers.
Operator: The next question comes from Filippo Falorni of Citi. Please go ahead.
Filippo Falorni: Hi. Good afternoon, everyone. I wanted to ask on gross margin, clearly very solid performance in Q1. You mentioned the drivers really being pricing and supply chain optimization. How should we think about those contributions going forward? And then on the aluminum side, clearly the Midwest premium has gone up quite a bit as a result of the tariff. So last quarter, you mentioned you were pretty well hedged in 2025. Can you give us an update on your hedging and potential mitigation action for the Midwest premium? Thank you.
Rodney Sacks: Yeah. So we use a lateral approach for hedging. And it’s very difficult and it’s somewhat expensive to hedge the Midwest premium. So to a limited degree, we are hedged with certain volumes in the Midwest premium. But we are -- we are nicely hedged on metal. But as all things happen, metals come down. So what we’re happy about is the fact that we try and mitigate our risk. That’s the objective of our hedging program. We don’t always win, but we mitigate our risk and that is very important. We don’t leave ourselves exposed. So talking about gross margins, looking forward, and you actually answered the question yourself because, yes, we are seeing an impact in the Midwest premium. Yes, we are seeing certain materials going up. So I wouldn’t expect that the second quarter margin will be as high as the first quarter margin. And let me leave it as that because we don’t give guidance. But I think you can read into what I’m saying.
Operator: Our next question comes from Bonnie Herzog of Goldman Sachs. Please go ahead.
Bonnie Herzog: All right. Thank you. Hi, everyone.
Hilton Schlosberg: Hi, Bonnie, we never thought you’d get on. What’s going on?
Bonnie Herzog: Well, you met me on earlier. I’m here waiting patiently. But I just have a couple of follow-up questions on your topline. You did give a lot of color. But first, I’d be curious to hear, how much lower were your reported sales during the quarter versus maybe your internal expectations? And then second, curious about your innovation pipeline. Are there any shipment timing impacts on innovation to consider in Q1 maybe versus Q2? I mean, you called out a lot. You highlighted a lot of innovation. So should we assume you have more innovation rolling out during the first half of this year versus the second half or is there a lot more planned for later this year? Thank you.
Hilton Schlosberg: There was more innovation rolling out in Q1 than in Q2. But it does take time. One of the great successes we’ve been able to achieve with Ultra Blue Hawaiian and with Vice Guava was we were able to get product on the shelves a lot quicker than ordinarily we would have. So you will see that there will continue to be an acceleration in distribution. But Q1 would see more innovation in sales than in Q2. And of course, there’s some loading that happens as the distributors get ready for the innovation that’s coming in the quarter.
Rodney Sacks: Just to add, just on the second half of the year, we will -- we do have some innovation planned for the fall. So there will be also some innovation in the second half as well.
Hilton Schlosberg: Correct. Correct.
Operator: Our next question comes from Kevin Grundy of BNP Paribas. Please go ahead.
Kevin Grundy: Great. Thanks. Good evening, guys. Two-part question for me and they’re related. I’d like to get your thoughts on pricing dynamics in the category. Your key competitor has not followed at this point and I wonder how concerning that is for you competitively. And then related to that, just how you think about your overall level of satisfaction from a market share perspective. And I ask that in the context that your value share has leveled off here sequentially. I know that’s been encouraging to the market. The flip side is your volume share is off, and that’s declining. You’re just not seeing the volume uplift. Naturally, there’s some demand elasticity with the pricing that you’ve taken. So two-part question, sort of overarching views on the pricing dynamics in the category. And then, secondarily, your overall level of satisfaction with what you’re seeing in the U.S. from a market share perspective? So thank you for that, guys. I appreciate it.
Hilton Schlosberg: Yeah. Kevin, if I could address that. Firstly, with regard to pricing, we are always looking at opportunities in the market based on various factors. We have and run our own play. So what the competitors do and what they don’t do really doesn’t impact our decision. And if you look at energy today, there’s a huge value proposition on energy versus carbonated soft drinks. Because traditionally, you saw there was a big divide between carbonated soft drinks and energy. And now, with the increases in carbonated soft drinks and the single serve carbonated soft drinks, you’ll see that that gap has dramatically reduced. So there are opportunities. We’ll consider them. And we’ll evaluate them as time comes. We’ve said that in Europe and in other parts of the world, we’ll continue to evaluate pricing as we will in the United States. And then, regarding share, obviously, it’s something that we’re very proud people here. And our objective is to increase and regain share. I mean, we just had a huge sales rally in -- for our sales organization and that was one of the major factors on the agenda. And Rob Gehring has that very pride of place in his mind is to regain market share. We’re very aware of it. And we believe we’ve got good plans to be able to accommodate it. We’ve got some great innovation in the pipeline. And we’ve also got to understand that encouraging, accelerating sales and volume trends in the United States are really encouraging, despite the price increase that we took. So, all in all, I think that we’ll do what we can and move forward.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Rodney Sacks for any closing remarks.
Rodney Sacks: On behalf of Monster, I’d like to thank everyone for their continued interest in the company. I would like to just mention that in my remarks on the April sales, I may have misadvertently referred to the comparable April as April 2022, as opposed to April 2024, just to clarify that. We continue to believe in the company and in our growth strategy, and remain committed to continuing to innovate, develop and differentiate our brands, and to expand the company both at home and abroad, and in particular, capitalizing on our relationship with the Coca-Cola bottler system. We believe that we are well-positioned in the beverage industry and continue to be optimistic about the future of our company. One thing I would just like to perhaps just spend a minute on is to just say to you that, as most of you are aware, I have decided to step back from my position as Co-CEO and that will happen on -- after the Shareholder Meeting on the 12th of June. And so this will probably be my last meeting in which I will take in my capacity as Co-CEO. But that’s been 30 years, and I wanted to thank everybody. It’s been really a great privilege to be in this position, to have dealt with you guys, have taken these meetings, and been involved in every aspect. And I want to thank you, the analysts and the investors, for the support and confidence you’ve had in us, in me and the whole executive team. And I will still be involved as Chairman, but won’t be involved in my current position and look forward to continuing to having a relationship with everybody. But things, everything in life moves on and I just want to thank you all for that. Thank you very much for your attendance and I will probably speak to you guys at the Annual Shareholder Meeting in June and then we’ll move forward from there. Thanks very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.